Operator: Welcome to the First Quarter 2008 Earnings Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session. Instructions will be given at that time. [Operator instructions]. As a reminder this conference is being recorded. I would now like to turn the conference over to our host Shelly Lair. Please go ahead.
Shelly Lair - Vice President and Treasurer: Thank you Roxanne. Good afternoon everyone and welcome to the conference call. For those of you joining us by telephone, this presentation is being webcast on the Century Aluminum website, www.centuryaluminum.com. Please note that website participants have the ability to advance their own slides. The following presentation, accompanying press release and comments include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements relate to future events and expectations and involve known and unknown risks and uncertainties. Century's actual results or actions may differ materially from those projected in these forward-looking statements. These forward-looking statements are based on our current expectations and we assume no obligation to update these statements. Investors are cautioned not to place undue reliance on these forward-looking statements. For risks related to these forward-looking statements, please review Annex A and our periodic SEC filings, including the risk factors and management's discussion and analysis sections of our latest annual report and quarterly report In addition, throughout this conference call, we will use non-GAAP financial measures. Please refer to the appendix, which contains the reconciliation to the most directly comparable GAAP measures. This presentation, including the appendix, is available on our website. I'd now like to introduce Logan Kruger, Century's President and Chief Executive Officer.
Logan W. Kruger - President, Chief Executive Officer and Director: Thank you, Shelly. Welcome to the first quarter conference call everyone. Participants joining me today are Mike Bless, and Wayne Hale, and also in Monterrey, Bob Nielson and Steve Schneider. Just move onto slide four, just to give you a bit of an overview of what's happened in the quarter, we believe we've had a good start to the year and also this quarter. The robust aluminum markets continue, the LME averaged somewhere around $2,729 per ton in the first quarter. As you will know, this is an increase from $2,447 in Q4 of '07. Price support from a weak US dollar, ongoing rising cost, and the continued ongoing demanded in China is part of the support of this drive. We do note that there are a number of suppliers as it is being evidenced by some of the winter storm events in China. The US aluminum plants are operating well and our production levels are at capacity at all or above all facilities. Grundartangi, in Iceland, the expansion is complete and you will note that there are production at an annual run rate of 268,000 tons [ph] in Q1. We have initiated the site preparation at Helguvik, our new Greenfield project and will commence construction efforts in the second quarter of this year. In addition, we have acquired a 40% stake in the newly constructed carbon anode facility located in south China. This is part of our strategy to ensure that we have access to materials imported to our plants in Iceland. The Jamaica refinery project is moving into a full feasibility study with our partner China [inaudible]. We continue to pursue further growth opportunities, overall we've had a good start to the year and a good first quarter. We move on to slide 5, bit more about the Helguvik Greenfield project in Iceland. Material contracts, permits and the project team are in place. The groundbreaking is scheduled for May and the initial preparation of the site has already commenced. We continue to anticipate first metal in the fourth quarter of 2010. We likely to be at the high end of the production range for our Phase I. If you remember we indicated a range of 130,000 to 180,000 tons of capacity per year for Phase I. The project capital expected for the total full potline of 360,000 tons is in the order of $5,100 to $5,300 per annual ton of capacity. You will have noted from previous discussions we've had with you that this project is front-end loaded on capital expenditure in Phase I. These include rectifiers and services as we've discussed before. We are putting those in place and they will be used to their full capacity as we initiate Phase II and Phase III. If we look at the capital cost for Phase I, it's somewhere around $1.2 billion, and that's for the full 180,000 ton capacity. This gives you an order of measure around $6,600 to $6,700 per annual ton of capacity. 2008 spending on this project is in the order of about $200 million. At full production, operating efficiencies for this project are expected to exceed our world-class facility at Grundartangi. We've adopted and are using the most modern technology available, the [inaudible] 36-plus technology. Can we move on to slide 6. Just a few comments about the market and the market fundamentals. As you will note from this slide, the forward curve has undergone significant flattening and an upward shift in the forward curve itself. Forward tracking is indicative of strong markets over the longer-term, for example 2013, the price will look at about $3,000 per ton. Capital and operating costs are up globally, energy, carbon, freight just to name a few. China’s high cost of structure… high cost structure is continuing to add new production capacity in the first quarter. Greenfield and Brownfield expansion projects costs are increasing and the length of time required to complete these new projects is ever increasing. And there continues to be developing supply side constrains around power. Year-to-date global consumption is about 6% over 2007, particularly in China 15% demand growth, China year-on-year. China's GDP for the first quarter was about 10.4% to 10.6%. Industrial production, which we track for demand growth in China is 16.4%. This is despite the New Year in China and as well as the weather impacts. Year-to-date global production is about 8.7% over 2007. 13.5% supply growth has happened in China year-on-year. Can we move on to slide 7.Just taking up a bit on the cost structure of China. This is just a composition of the fourth quartile of the cost curve. China is a significant and growing percentage of the fourth quartile of smelter cost curve. And I think that's... most of the production introduced in China goes into this quartile. Expensive power contributes to the high cost position. The Chinese government continues in its efforts to discourage investment in power intensive tentative industries like aluminum and steel. They have increased taxes, they've removed preferential power prices and are ever increasing the regulations on a stricter fashion. It's expected that China will become a net importer of aluminum in 2009 or sooner. Can we move on to slide 8. If you look at the aluminum inventory versus price, we anticipate that global market will be balanced or have a modest surplus in 2008. You will have noted at the beginning of the year a lot of commentators were expecting a major surplus. This has moderated somewhat as you know of the production set backs both in South Africa and China to just to name a few. Today's inventory remains low, less than 30 days of proximity, 29 days of global demand. Few comments on markets in the US. The markets in the US are subdued. The markets are soft and this is with the exception of the aerospace, which remains very strong. Midwest premium strengthened to $4.05 per ton recently and this is in the range of the historical averages. Note on pricing on alumina, spot alumina prices are around about $428 per ton. Cost pressures in supply side disruptions are ever supportive in this price structure as well. Overall, the aluminum market fundamentals remain strong as indicated by current prices and the forward stream. And for discussion on the operations, I will now hand over to Wayne.
Wayne R. Hale - Executive Vice President and Chief Operating Officer: Thanks very much, Logan. Let's turn to slide 9, smelter continue to operate well during the quarter. In the environment health and safety areas, plant and leaderships consistent execution of programs drove year-on-year improvement in safety, health and environment. In particular, Grundartangi has seen a 40% reduction in the loss time injuries as compared to year-end 2007. Operations at the domestic smelters were in control and solid during the quarter. Reliability excellence, one of the key strategic initiatives to improve the operations and reduce operating costs was initiated during the quarter. Reliability excellence is merge between operations and maintenance where they work together as a team to reduce breakdown, improve reliability, and reduce costs. Jim Chapman joined the Century Aluminum team as VP of Operations at West Virginia. A former native of Ravenswood, Jim brings extensive operations and leadership experience to the plant. We are pleased to have Jim on the team. In February, we were notified by Appalachian Power that they had filed with the West Virginia Public Service Commission for a 17% rate increase. We are working with the Public Service Commission staff and the consumer advocate to mitigate these increases and its impact on the Ravenswood plant. Progress continues with the Big Rivers' unwind to secure long-term cost base power for the Hawesville plant until 2023. Public hearings via the Kentucky Public Service Commission have commenced. We expected the unwind to be completed in the first half. However, this is a complicated process involving many people in constituencies and now the unwind may not be completed until the second half of the year. As a result, in light of this potential delay, we are speaking with E.ON and other providers to explore options to cover the unpriced portion of our power contract for the second half of the year. At Grundartangi, the operations continued to move from strength to strength, the operation is just stable, purity has improved and the control of cost are lower than they were in 2007. And move on to slide 10, and I will say a few words about our refining, mining and metal sales and marketing. And so far as St. Ann Bauxite, they have shown a year-on-year improvement in safety. In operations mined and railed tons were impacted by rain delays and truck availability. Ship production was reduced by ship availability as well. Despite these challenges in-plant requisite inventory was maintaining and there was no impact to our customers. Recently, there has been news of a work slowdown at St. Ann to highlight the union’s leadership concern about the lack of contract negotiations progress. Though there as been minimal impact to the operations, we are in discussions with government officials and union leadership to bring resolution to some of the more foundational issues. This is not unusual and to make it have for attracted labor negotiations and we are working through the issues to achieve a satisfactory result for all stakeholders. Gramercy Alumina refinery met all production and cost metrics for the quarter. The plant is operating well with few problems. Turning to sales and marketing, despite a year-on-year reduction of 2% in US metal demand we continue to see a strong demand for our premium products. Billet in our segmented market is extremely tight as secondary producers are being impacted by tight scrap on our natural gas costs. The Midwest premium as indicated by Logan has increased due to tight scrap market and higher fuel cost that have driven up the import costs. Our finished good inventories at all our facilities remained low to take advantage of the markets. And I'll turn it over to Mike, who will discuss the financials.
Michael A. Bless - Executive Vice President and Chief Financial Officer: Thanks very much Wayne. Pardon me, and if we could turn the slide 11, as usual in addition to referencing the slides, I will make reference to the financial information, that's appended to the earnings release itself, as well as the reconciliation slides in the back of the slide deck. And so if you could have those in front of you, it will make my comments easier to follow along with. Okay, first on the market before we dive into the numbers, Logan made reference obviously to the fact that sequentially now Q4 to Q1 the market was up. The cash price as he said was up 12% with a one-month lag, the cash price was up about 4%. Turning to our realized prices, when you look at our average realized price worldwide, that's the average of our direct sales and our total sales in Iceland. On an as reported basis, our sales were up about 8%. Adjusting for the impact of the cash flow hedges and I'll get to this in a moment our sales sequentially direct and total average realized price were up about 4%. So right in line with the marketplace. And now before I go on, so that I can set the context for the comments that I'll make. If we could just turn to slide 12 for a moment, we will turn back to 11 in just a second, but 12, I think is important as we talk about the data this quarter and going forward. So, this is the fixed price forward sales situation. This is a continuation of some of the information we obviously have been providing for couple of years now, but that we started providing last quarter. This looks at nine quarters whereas historically ending with the one that just ended of hedge actual settlements. The ton settled on the left and the actual dollars that we paid out on the right. And just to orient you going back to the left, as you remember what we said is that in 2008 versus '07 the actual ton settled would be about the same, as you see Q1 over Q4 was a little bit more 59,000 versus 52,000 tons. Yet the accounting composition of the settlements would change. That after this quarter that 9,000 tons of cash flow hedges are at the end of our cash flow hedges and that all the rest of the volumes going forward would derivatives. And so, you see that major difference carried over to the right, I just want to orient you. When you look at the dollar value of the cash flow hedges settled Q4 versus Q1 over at the extreme right hand portion of the right hand chart, $23 million in last quarter, or two quarter ago and now I should say $7 million in the quarter just ended, that’s $16 million delta there, is the difference between the cash flow hedges and that's the anomaly with the difference that I'll reference here in some of the data that I give you. We we're going to come back to this chart later and talk about the cash but if we can now pull back to 11, we'll talk about the income statement data and some of the rest of it. Before we get to the income statement data you've may be had the chance to see the operations data in the back of the financial information and from a tons basis, our domestic volumes were flat quarter-to-quarter as we expected, we shipped in the quarter at an average rate of 533,000 annual tons, nicely above our rated capacity. As Wayne said the plants are running extremely well. In Iceland as you've had a chance to see and as Logan referenced, our volumes were up 2.4% sequentially, shipping at 268,000 ton annual rate at the high end of our expectations. We are quite please with that. Turning to the income statement data itself, revenue as you can see here, up on our reported basis sequentially 9% or $39 million. If you adjust for that difference in cash flow hedges, that $16 million that we just looked at on slide 12. The revenue was up 5% or about $23 million, deconstructing that $23 million, about 85% it was due to the price and 15% was due to the incremental volume at Grundartangi. Continuing down the income statement data, if you are looking at the data on the bottom of the earnings release gross profit increased $36 million as reported $20 million excluding again the cash flow hedge delta. We'll give you a couple of major items that impacted cost of sales during the quarter, first of which were our LME-based costs. Those as you know are the cost of our alumina in the US at Mt. Holly and Ravenswood, where we purchase on LME-based contract basis and our electric power in Iceland, which of course is indexed to the LME. Those two items in total were up i.e., unfavorable about $6 million Q1 over Q4 about 50-50, 3 million alumina, 3 million, Iceland power. Raw materials continuing at same that we have seen and obviously the industry is struggling with. Logan referenced our investment in the carbon plant in China. Raw materials were up unfavorable again $5 million quarter-to-quarter. Most of that are carbons and fluoride and other materials as well US power costs up about 2 million, none of that is electric power. Our electric power cost at these smelters were actually flat quarter-to-quarter, that entire 2 million is natural gas. About half of that at the refinery, our 50% share obviously at Gramercy and the rest due to the modest amounts of natural gas we use at the smelting facilities. Lastly, Wayne referenced how pleased we are with the operations at Nordural at Grundartangi and the operating cost there quarter-to-quarter obviously exclusive of electric power were favorable by $4 million, so we are very pleased. Continuing down the income statement, let me make a couple of comments about SG&A. First to fit the context the Helguvik development costs are no longer being expensed on the income statement, consistent with GAAP as we have been expecting those costs are now being capitalized, in addition to the actual capital cost from sales and we will get to that, when I make a couple of comments about the cash book statement in a moment. You see on the face of the income statement $18.9 million in SG&A, and let me make a comments about that, about $6.5 million of that number is due to a long-term compensation costs in excess of what we normally book and I will get to that in a moment. And so if you exclude that amount the residue or about $12 million is in line with our expectations. Now, that $6.5 million where did it derive, from, about 60% of it just under $4 million is in the accounting for the plan period that just ended, our long-term compensation plans are in three year increments. So, this is the '05 to '07 plan that just ended and paid out a couple of months ago. And as you may know our long-term incentive plans are totally based on common stock, and obviously the accounting for them depends upon the stock price at the time the grant is made. So same number of shares higher stock price translates into a higher charge than we have been accrued for. In addition due to the company's financial performance and operating performance during the plan period, a higher payout was made as well. And so those two items conspired to push long-term compensation expense up about $4 million versus our norm. In addition the design of the long-term plans going forward has changed modestly. The target amount hasn't changed at all, but just the design of the plans has changed just a little bit. And due to that the proper accounting for those plans has changed and that more of the expense needs to recognized under GAAP, under FAS 123R sooner than it did before. So we have a one-time about $2.5 million reorganization of that and then we go back to the prior amount. So that's $6.5 million of long-term comp expense in access of what we normally have. Continuing down the income statement data, loss on forward contracts as you can see $448 million during the quarter obviously from December 31 to March 31 the measurement dates as we reference the forward screen traded up and flattened significantly, cash through '09 prices as we all know increased some more in the mid 20 percentage points, and 2010 through 2013 prices were up in the mid-teens on a percentage basis. Couple of comments on the income statement, the effected tax-rate came in on an adjusted basis at 27.6% right in the middle of our expected range. When we say adjusted there, if you go to the... the reconciliation slide in the back of the slide deck you will see this is consistent with what we presented in the past. We exclude two items this quarter. One is the after-tax mark-to-market charge. The second is a discreet tax item at $2.9 million charge due to the fact that the State of West Virginia decreased their tax rate. As you may remember last year in '07 during two quarters, we had a one-time or discreet gain when the State of West Virginia increased to the tax rate. So, a bit counter intuitive, they increased their tax-rate, which results in the carrying value of our deferred tax assets increasing. That increase gives rise to a tax benefit. And therefore we pull that out if you recall last year in two separate quarters as an unusual item. Earlier this year, actually West Virginia decreased the rate by a little bit thus decreasing the carrying value of our deferred tax assets, that's resulting in a charge here. So, we pull that out as a an unusual item in our adjusted EPS. Turning to EPS next lastly, I am excluding those two items mark-to-market charge in West Virginia discreet item tax, $1.37 based on 41 million basic shares and $1.28 based on 43.9 million diluted shares. You can turn back to slide 12, just to round out talk a little bit about cash, major item on the cash flow statement of course always is the use of cash to settle our derivative contracts. As you’ll see over on the right hand side of this chart, in the red $52 million this quarter in addition to the $7 million to settle the cash flow hedges that we talked about a little bit while ago. And as you see there, the comparable amount in the prior quarter sequentially was $43 million. Couple other items in cash flow statement, capital expenditures as I said before, Helguvik spending is now all on the cash flow statement, what you see on the Nordural expansion line now is all Helguvik $7 million during the quarter. Other CapEx of the company including spending on the Grundartangi plant is in the normal CapEx line about $9 million for the quarter that's versus a budget for the year as we discussed with you in detail during the last call at $75 million. Lastly, I would just point out on the balance sheet cash and outstanding just at $370 million, about $368 million grew from the end of December obviously despite the CapEx, some interesting tax payments we made during the first quarter. And if you had a chance to look at the cash flow statement if so, you'll see a build of just shy of $20 million in working capital. All of that is due to the run up in the aluminum price. And with that, I will turn it back to Logan.
Logan W. Kruger - President, Chief Executive Officer and Director: Thanks Mike. Just in summary if you look on slide 13, strong market conditions continue. The Helguvik groundbreaking of the new project has started and the second quarter capital projects in the US where incremental production are in place and are on going. We have invented in added capacity in China. We've also moved our Jamaica refinery project with China [inaudible] to a full feasibility study, which will take about the next 18 months. And we continued to pursue other global project pipeline items. At this stage I would like to take the opportunity to invite you to ask some questions. Roxanne? Question and Answer
Operator: Thank you. [Operator Instructions] Our first question is from David Lipschitz with Merrill Lynch. Please go ahead.
David Lipschitz - Merrill Lynch: Hello everybody.
Michael A. Bless - Executive Vice President and Chief Financial Officer: Hi David.
David Lipschitz - Merrill Lynch: Can you just... quickly tell us what your... what your calculating EBITDA I know you usually give it in your presentation slide but you didn’t give it in this slide deck?
Michael A. Bless - Executive Vice President and Chief Financial Officer: You know what David we’ll have to get that to you. We, it's not a number that we normally calculate for management purposes you can do it based on our own basis, which is, we’ve given you the road map in the past, I don't have the deck at hand, but we can certainly crank it and put it out there on the website if it's of interest.
David Lipschitz - Merrill Lynch: Okay, yes--
Michael A. Bless - Executive Vice President and Chief Financial Officer: Same... same methodology as we have used before obviously you can get the reconciliation charts as you correctly reference from the back of... at least a last sell side conference presentation, I believe we did it in. Yes Shelly is saying yeah.
David Lipschitz - Merrill Lynch: Okay. Thank you.
Michael A. Bless - Executive Vice President and Chief Financial Officer: Thanks David.
Operator: Our next question is from Sam Martini with Cobalt Capital. Please go ahead.
Sam Martini - Cobalt Capital: Hi Guys.
Logan W. Kruger - President, Chief Executive Officer and Director: Hi Sam.
Sam Martini - Cobalt Capital: Can you give a little bit more information on the carbon anode's investment in South China? I apologize if you went through this in depth, I had to jump off a minute but just... what are you putting in, what are you getting out on, I'm assuming this is all going to... I don't know if this is future for Helguvik or for Grundartangi current or anything and any... just update on kind of what you are seeing in the carbon anode market globally would be helpful?
Logan W. Kruger - President, Chief Executive Officer and Director: Sam it's Logan I’ll take a bit of the first part and then Wayne and Mike will jump in. The facility is a two-phase project to produce the nameplate capacities around about 190,000 tons of anode. We have taken a 40% position in this, we've been studying this for some period of time. The first phase is already in place and producing, I think Mike correct me, our investments tens of millions of dollars.
Michael A. Bless - Executive Vice President and Chief Financial Officer: That's correct.
Logan W. Kruger - President, Chief Executive Officer and Director: We are very happy with the quality of the anodes. We have tested them, we've reviewed them. And we see this is a strategic as with other sources of supply of anodes for the longer-term for both Grundartangi and Helguvik. So, I think that's a strategy, I don't know if Wayne and Mike.
Wayne R. Hale - Executive Vice President and Chief Operating Officer: I mean we've... just to your point, we've had it the carbon reviewed by an independent party and they are very good quality and actually we have a...as you recall a test batch going to Grundartangi as we speak.
Michael A. Bless - Executive Vice President and Chief Financial Officer: I think the only other thing I would note Sam is that, this new plant is a clone of one that the same operator has built a couple of years ago, it has been operating successfully, has been producing quality anodes for... for the marketplace and so while there is always a risk, we thought the risk here was given the fact that number one, it does mimic a plant that has been operating and two our money went in and literally as Logan referenced as the first line came on stream. The risk was nothing near sort of a normal Greenfield risk... a plant kind of risk.
Logan W. Kruger - President, Chief Executive Officer and Director: And in Guangxi province Sam, as you know, we have been working that for some time.
Sam Martini - Cobalt Capital: So about 0.6 tons anode per ton aluminum, is that fair?
Michael A. Bless - Executive Vice President and Chief Financial Officer: Yes that’s close enough.
Sam Martini - Cobalt Capital: And you will get about 70-75 out of this thing when everything is all set and done?
Michael A. Bless - Executive Vice President and Chief Financial Officer: That's what our equities stake is Sam. That doesn't preclude us obviously from having an uptake that's greater than that. I think you should look that as a minimum of what we get.
Sam Martini - Cobalt Capital: And how bad is the anode guidance, I mean has it got worse even from Q4 and what are you seeing for pricing out there?
Logan W. Kruger - President, Chief Executive Officer and Director: I think Sam the drive to source and keep reasonably consistent supply of strategic materials is going to be tested for everyone, that's the part of the supply side risk I think. And so we've had longer term and medium term by contracting places multiple supplies. But this is one way where we have kind of save better impact on what comes out and gives us opportunities to defray our risk.
Michael A. Bless - Executive Vice President and Chief Financial Officer: And the spot market to your question, Sam, has kind of stayed in there to better of our knowledge is counting on sideways a little... sideways. Over the last 90 days, as you know, the reference points are hard to find such a thin market, there’s two-third party merchant anode market is very thin.
Sam Martini - Cobalt Capital: So this gives us some good visibility more... as much or more than anything.
Michael A. Bless - Executive Vice President and Chief Financial Officer: You bet.
Sam Martini - Cobalt Capital: Thank you.
Michael A. Bless - Executive Vice President and Chief Financial Officer: Sure, thanks Sam.
Operator: And our next question is from Mark Liinamaa with Morgan Stanley. Please go ahead.
Mark Liinamaa - Morgan Stanley: Hi, all. Could you go over your commentary with the Big Rivers unwind again, I want to make sure I understand the power situation there going into the rest of the year?
Logan W. Kruger - President, Chief Executive Officer and Director: Sure, just let Wayne take it. I'll make a comment.
Wayne R. Hale - Executive Vice President and Chief Operating Officer: Sure. Sure, I'll just talk about it again the unwind is being reviewed by the Kentucky Public Service Commission now. And as I’d indicated these discussions in the review publicly involves many people and many constituencies and as a result we had formally thought that this could be wound up and completed in the first half of this year. Now however the fear is that it may move over into the second half of the year. And as a result if you recall your unpriced portion of our power contract that is essentially being closed for the first half of the year with acceptance about 5%. And so again recognizing this potential, we're going to be out talking with Eon and other providers to understand what power is available to close this position in the second half.
Mark Liinamaa - Morgan Stanley: And does it... does this create any sort of risk at all or--?
Logan W. Kruger - President, Chief Executive Officer and Director: I think the only risk is the price .But we've been doing this for the last period of time. So you know, we put our... major part of it and it's just the pricing .I don't think it's a sourcing issue.
Mark Liinamaa - Morgan Stanley: Okay. So it's still a very… from your perspective a very manageable situation relative to current operation?
Logan W. Kruger - President, Chief Executive Officer and Director: I think, that's answers your question, yes. It is just the pricing issue.
Mark Liinamaa - Morgan Stanley: Good, thank you.
Logan W. Kruger - President, Chief Executive Officer and Director: Thanks, Mark.
Operator: Our next question from Oscar Cabrera with Goldman Sachs, please go ahead.
Oscar Cabrera - Goldman Sachs: Hi guys, good afternoon everyone.
Logan W. Kruger - President, Chief Executive Officer and Director: Hi, Oscar.
Oscar Cabrera - Goldman Sachs: Just if you could I missed part of the explanations you guys were giving on Helguvik. I understand the expansion there is between $51,00 to $53,00 a ton. Now we have talked about a range from $4,500 to $5,000 and you said that at the top one of the range that would include a nano plant. So just want to make sure that... these numbers that you're given us today reflects your partnership that you gone into and how much do you think you can save in terms of cost? And then the second part of that, you also were referring to $66,00 a ton. Could you just go with that again, please?
Logan W. Kruger - President, Chief Executive Officer and Director: All right, Oscar. I'll try and set up the sequence and ask Mike I think and Wayne as well. I think we've already said that the new Greenfield site Helguvik is not going to have a carbon plan. I don't think we've ever indicated, we're going to have a carbon plant. So if you misheard that one our apologies. But it's never going have a problem. Secondly as 100% owned by us as well, the approach on the project is no different to what we've been saying for the last year or so its going to be both in phases and the phases are no different job approaching the way we dealt with Grundartangi. The first phase initially was set to be a 150,000 to maybe a 190,000. We've are now indicating the higher end of that range. The capital investment for that range for the first phase because you have pre-investing for the whole pipeline of up to 360,000 tons of capacity for a year is about $1.2 billion. At the end of that if you do the arithmetic, you'll come out at about $6,600 per annual ton of capacity. Completing in all the phases to the full capacity of 360,000 tons by 2013, 2015 period, we'll take that capital cost on to an average of about 5,100 to 5,300. And you are correct, we previously indicated somewhere between 4,500 but that goes back about a year and we've now recognize that part of the impact on these ongoing costs including things like the aluminum mothball, which is a big number of steel process, etcetera. The project is south of Helguvik and we've got all the experiences we learned in Grundartangi to obviously to apply to this project. I don’t know if Mike and Wayne want to add anything.
Michael A. Bless - Executive Vice President and Chief Financial Officer: No, I guess other than to repeat Logan's point and just to add a little detail, we Oscar, as you remember, we did talk about $4,500 to $5,000, I think Logan was right. Maybe about a year ago, we updated that to right around $5,000 when we just spoke about it in the last couple of times, and the $5,100 to $5,300 as Logan said for the whole top line, as you would normally expect with a project like this has a contingency element in it, so the actual cost of that pre-contingency is less. We think it's prudent to have the contingency for all the reasons that you normally have one in a project like this and we think our contingency is... it's kind of the right quantum for the... for this type of project we're taking. And so that putted into, I think context and brings it current. A lot of work that Wayne's team has done to get to this point.
Logan W. Kruger - President, Chief Executive Officer and Director: Any comments, Wayne?
Wayne R. Hale - Executive Vice President and Chief Operating Officer: No, I think you guys captured all.
Logan W. Kruger - President, Chief Executive Officer and Director: Right, good question.
Oscar Cabrera - Goldman Sachs: I appreciate that. And then if you... you just remind us what... you said you are spending about $200 million for that in 2008. What kind of sequence should we be looking at for the... until you start production in... at the end of 2010? Is it all...?
Logan W. Kruger - President, Chief Executive Officer and Director: I think for the capital for the remaining two years, 2009 and 2010, those are your marketing intensive of years in the field as you would know, I would take at this point in time until we update anymore about 50% to the additional capital will be spend in each one of those years.
Oscar Cabrera - Goldman Sachs: Okay, great. Thank you very much.
Logan W. Kruger - President, Chief Executive Officer and Director: Thanks, Oscar....
Michael A. Bless - Executive Vice President and Chief Financial Officer: Thanks for your question.
Operator: Our next question is from David Gagliano with Credit Suisse. Please go ahead.
David Gagliano - Credit Suisse: Thanks. First of all, just to follow-up on Oscar's question. I was wondering if you describe a little bit more on the Helguvik the breakdown of the $1.9 billion in total capital by year from 2009 to say 2012? I didn't quite get that 50% comment?
Logan W. Kruger - President, Chief Executive Officer and Director: David, we haven't got a breakdown that we are happy to give, but on Phase I up to $1.2 billion, that will take the period '08, '09 and '10, $200 million in '08 and then evenly spread of '09 and '10. As you know, as the engineering develops and the schedule develops, you will have fluctuations. So that’s our bit numbers that we can give you at this point in time.
David Gagliano - Credit Suisse: And then on sort of the 315, 2011, 2012 is that fair?
Logan W. Kruger - President, Chief Executive Officer and Director: No, David. $1.2 billion maybe it's... we've missed this once. $1.2 billion for the first phase up to 180,000 tons that gives you the 6,600 per annual ton capacity for the first phase. That obviously goes down as you introduce lower capital investment for phases two and three.
David Gagliano - Credit Suisse: Okay, great. I was thinking Phase II and III and total you will get you to $1.9 billion so incremental $700 million in 2012, 2013 sort of thing...?
Logan W. Kruger - President, Chief Executive Officer and Director: Correct. We are targeting 2013 to 2015, obviously we will update you on that target. You know the path is just an additional one. This is all coming from geothermal, so those come on an incremental amount David and you know that and you've actually seen it. So I think that's important to understand. As these things develop we will update everyone.
David Gagliano - Credit Suisse: Okay, fair enough. Moving on just to switch over the electricity rate increase question. If you do need to absorb the 17% rate increase, I am just trying to wrap some numbers around it what would be the total impact on your cash cost for Ravenswood for the incremental increase?
Logan W. Kruger - President, Chief Executive Officer and Director: David, I’m going to Mike to press on for that one.
Michael A. Bless - Executive Vice President and Chief Financial Officer: Yeah, two comments. One, we'll answer the question by not answering it, because as you know David we don't forecast cost. And two... but there are estimates out there for what our current power tariff at Ravenswood is and two is to put some color on it as you know, we right now are operating at Ravenswood. There are a lot of hard work that Wayne's team has done in the state under the so-called experimental rate where at lower LMEs the increases that have been imposed over the last 18 months are not forgiven forever but are excused until metal prices go back up. We talked about this many times before obviously. And so we would hope and expect I guess I would say that, that regime would continue though it does not automatically continue, with a lot of hard work we are hopeful that we can get it to continue. And so we need to all... obviously at the current metal prices we are paying at the higher tariff rates based on the last two increases, but we do have that downside protection.
David Gagliano - Credit Suisse: Okay, good. Thanks very much. I appreciate it.
Michael A. Bless - Executive Vice President and Chief Financial Officer: David, thanks.
Operator: Our next question is from Justin Fisher with Goldman Sachs. Please go ahead.
Justin Fisher – Goldman Sachs: Sorry, good afternoon.
Logan W. Kruger - President, Chief Executive Officer and Director: Hi, Justin.
Justin Fisher – Goldman Sachs: The first question I had was just a clarification on the prices, is there always a one-month price lag for you guys versus the LME?
Logan W. Kruger - President, Chief Executive Officer and Director: Not much, the reason we quoted Justine is that... I guess, Wayne... much of our sales flows that way. I wouldn't say all but much, in the US anyway.
Justin Fisher – Goldman Sachs: So the 117 for the first quarter was I guess was significantly below down the average, should that be... should it be closer to the average going forward or is that just in quarters where there is a massive swing in the LME price?
Logan W. Kruger - President, Chief Executive Officer and Director: There you go, if it was flat then it wouldn't matter, right but if it's up or down... but for the sales in the US anyway, most of those are made... and we are no different than the rest of the industry in that respect.
Justin Fisher – Goldman Sachs: Okay. And then, I didn't see in the press release, forgive me if I missed it, but the breakout of the impact of currency, because there has been some massive swings in exchange rates. So I was wondering Mike, if you could break out the difference. I guess the currency back it will be on cost --.
Michael A. Bless - Executive Vice President and Chief Financial Officer: Yes, indeed. And it was only... we didn't break it up because it wasn’t material, it was about $1 million Justin put to the positive that hit the bottom line, because obviously in the US we're producing in dollars, selling in dollars. In Iceland we are obviously selling in dollars and much of our cost including electricity remember is in dollars and so we don't have any alumina there because of the tolling are really all we are talking about is sort of the local krona-based cost, those obviously being payroll and local taxes and local services and stuff like that.
Justin Fisher – Goldman Sachs: Right. So I guess… okay. So, right, that makes sense. I didn't think about the fact that the power is all based on LME. So I guess, if you guys where do you see an impact of currency going forward it might be on the capital cost?
Michael A. Bless - Executive Vice President and Chief Financial Officer: It would be on the capital cost and maybe you're bringing it's as an excellent, I'm sorry to cut you off, but we are doing a lot of thinking about it now in fact we have and we talked about it last time in advance of pricing our capital cost and timing for the new project. We did go when the market despite a little while ago and but against our operating costs for at about 13 months Shelly's group and the folks in Iceland where it cut the market reasonably well and so we' bought an average price of, I would say, close to 80, may be even a little bit above, little bit below high 70s on a krona dollar basis against the operating cost. Now that we have the CapEx more defined we are looking it very carefully at, and how we will approach the capital costs for the new projects and as we announced or discussed in the past of those numbers that Logan and Wayne were citing roughly a third are krona based.
Justin Fisher – Goldman Sachs: Okay and --
Logan W. Kruger - President, Chief Executive Officer and Director: Justin, just to add to what Mike said, it’s Logan, we're going to approach it not differently to taking some currency or risk out of the project as we did for 55 at Grundartangi if you remember.
Justin Fisher – Goldman Sachs: Okay. Okay and then the last question I had is just about potential supply responses that we might be seeing to the current price rise in aluminum and I know that we really saw a lot of mothball smelters come on line over the last couple of years because of higher prices but, so as though it seems as though there is a little propensity for more to come on. But I was wondering if even the BHP that seen a cutback in South Africa, are major producer or any new producers trying to increase production anywhere else in response to these prices?
Logan W. Kruger - President, Chief Executive Officer and Director: I think the situation been around for two years, I think we've seen reasonably attractive process so on the supply side response everyone is running the project at full utilization, so there is actually supply side risk because everyone is running at 95% of serviceability. In terms of the plant that have closed down and is unlikely that I can see and my colleagues could comment, I don't see a restart of existing platform so lot of them have actually sold off key parts of their major equipment anyway, so they really in the process of being decommissioned [inaudible] has happened in China and elsewhere so I don't see it, Wayne may have some observations but I don't see it Justin.
Wayne R. Hale - Executive Vice President and Chief Operating Officer: No, I think you make a good point. Those are plants that are available or have been decommissioned to the point that they are no longer restartable. Otherwise they would be in the market.
Michael A. Bless - Executive Vice President and Chief Financial Officer: Yeah, and this… you can read the industry analyst, this is Mike, Justine and they will say they same thing there is a realized example in the marketplace right now we don't like to say the take the name of our peers but there is a small plant in the US that is currently for sale, it's a 90,000 plant ton line. The operators and majors are just probably excited here they are and I've obviously chosen not to restart it and I think the, thought about in the industry that is the most likely when result is for that facility to be bought for the equipment either by an operator or more likely by sort of a broker type and part it out. So perhaps that's a realized answer to your question.
Justin Fisher – Goldman Sachs: I heard Google bought a smelter because seriously that was the only place that had enough electricity for the service. Anyway, okay. Thank you.
Unidentified Company Participant: All right, Justin. This is [inaudible], but I think it also raised the target to come from, if you understand the challenge.
Justin Fisher – Goldman Sachs: Okay. Thanks.
Logan W. Kruger - President, Chief Executive Officer and Director: Thanks Justin.
Operator: Our next question is from Terence Ortslan with TSO Associates. Please go ahead.
Terence Ortslan - TSO & Associates: Thanks. Good afternoon everybody. I am just rounding up some numbers, could you remind me again please for 2008, what's your SG&A going to be and your depreciation amortization and the CapEx one more time? Thanks
Michael A. Bless - Executive Vice President and Chief Financial Officer: Sure.
Terence Ortslan - TSO & Associates: If possible, any one of them.
Michael A. Bless - Executive Vice President and Chief Financial Officer: No, no problem. The SG&A as I referenced we are still comfortable with the estimate that we gave on the last call which is about $12 million a quarter, it can be lumpy, but that's still a good number on an ongoing basis. I am sorry, next… oh CapEx. Two parts I would enter that in. First, and this is both consistent with the guidance that we gave a couple of months back. The non-Greenfield Iceland plant CapEx, so for rest of the company including the existing plant Grundartangi and Iceland is about $75 million for the year, including sort of our normal amount of maintenance and sustaining CapEx in the 20 to 30 range and the rest being the expansion in ROI projects, about which Wayne spoke in detail last time. And then last ... I'm sorry ... D&A about $85 million let me break that into two parts, about $70 million of it is fixed assets depreciation and the rest is amortization, the remaining intangible asset due to the power contract. As we talked… that’s the annual rate as we've talked about last time, that amortization will go way upon the timing of the ... of the cancellation of the existing power contract at Hawesville on the signing of the new one. So that's kind of a moving target if we didn't to Wayne comments sign the contract until the end of the year it would be indeed 15, but it would be pro rata pretty much pro rata for when we ... we close this new contract.
Wayne R. Hale - Executive Vice President and Chief Operating Officer: I think Terry, I would just add ask them to remember is we are not going to hit with the full feasibility study on Jamaica and obviously it's 50-50 was our joint-venture partners and will be obviously expensive as we go forward. As we develop more information we will obviously bring it to the table.
Terence Ortslan - TSO & Associates: Okay. Just one question on your slide 7... sorry it is just rounded up. Slide seven, the completion of fourth quartile cost curve, is it number of smelters, or number, tons of capacity that you have on that budget out of curiosity? It is the number of smelters that doesn't seems to make sense.
Michael A. Bless - Executive Vice President and Chief Financial Officer: No, no…
Wayne R. Hale - Executive Vice President and Chief Operating Officer: I think that this one really is to try… trying to get good cash, trying to point out where the new smelter capacity in China's is falling in terms of the cost goods.
Michael A. Bless - Executive Vice President and Chief Financial Officer: Sorry about that, that's certainly tons.
Terence Ortslan - TSO & Associates: And what has it done by the way, what is that number, the tonnage number roughly?
Wayne R. Hale - Executive Vice President and Chief Operating Officer: I will have to look it up but probably somewhere near of 14 million tons, 12 to 14 depending of the total.
Michael A. Bless - Executive Vice President and Chief Financial Officer: Yes, I mean, you can it’s CRU [ph], this is straight out of CRU.
Terence Ortslan - TSO & Associates: Okay.12 to 14 million tons being in the fourth quarter, is it right?
Michael A. Bless - Executive Vice President and Chief Financial Officer: Total time .. no, no .. it's total in China.
Terence Ortslan - TSO & Associates: Okay, okay, China. China I know that number. Okay, okay. All right, thanks guys, thanks so much.
Logan W. Kruger - President, Chief Executive Officer and Director: Sure Terry.
Operator: Our next question is from Tim Hayes of Davenport and Company. Please go ahead.
Timothy Hayes - Davenport & Co.: Good afternoon.
Logan W. Kruger - President, Chief Executive Officer and Director: Hi, Tim.
Timothy Hayes - Davenport & Co.: Just a question on the more macro question for Logan, what's your feeling about South Africa, how bad might power cuts ... the smelter cuts be and I think we are still about what 10% of running, there has been cut in the three smelters in the region. What’s your feeling might that you know how much more, could that be over the next several years if there is a truly a structural power problem in the region.
Logan W. Kruger - President, Chief Executive Officer and Director: Yes. Tim, I think to goes to the last part. I think there is a structural problem, it's not only impacting South Africa. If you read the literature and you travel there but it's impacting Botswana, Zimbabwe and even through into Zambia. And the solutions for the short-term to try and bring some peak load on gas turbines and oil side or diesel side will help. But the internal consumption at South Africa continues to go up. So the minimum that EXCOM the national provider, is a 10% reduction, and but it hasn't guaranteed that and will have ongoing blackouts or reductions as it goes forward. So it's imposing that. The second part, which China imposes, obviously price on the domestic users, particularly and that of course is not doing too well. I don't see from visiting and talking to people or in the note that a new power, coal fired power station north of Johannesburg will come into being much before 2015. So this is not a problem that's going to go away in the next year or 18 months. And obviously all the users are working at ways of reducing consumption but you've also got the growth in demand as well. So I think the two... it's quite an ongoing problem. We've modeled only a 10% reduction in our... the numbers we haven't take anything in addition. I think that's a part of your question, we've no view on that, we will see how it plays out.
Timothy Hayes - Davenport & Co.: And then moving to China, we've heard a lot of talk that some steel mills may be shutting down around Beijing, any idea if any aluminum smelter is in that area would shut down and if so, any estimate of what kind of tonnage might be affected?
Logan W. Kruger - President, Chief Executive Officer and Director: We haven't picked up any aluminum smelters but I think the steel ones are being reported. It's a good question, we haven't seen anything. So we've got no view on that, adjusting generally we set to China, we have looked at what China may produce for a year and we cite somebody under 15 million tones first 15 million tons, I'm looking to Shelly for the year and she is nodding the head so it's in that order. I think people have realized that China will not continue to raise ahead as it was over the last maybe three years.
Timothy Hayes - Davenport & Co.: Okay. Thank you.
Logan W. Kruger - President, Chief Executive Officer and Director: Thanks, Tim.
Operator: And our next question is from David Risinger from Merrill Lynch. Please go ahead.
David Risinger - Merrill Lynch: My questions have been answered. Thank you.
Logan W. Kruger - President, Chief Executive Officer and Director: Thanks David.
Operator: Next question is from David Rosenberg with Oaktree Capital Management. Please go ahead
David Rosenberg - Oaktree Capital Management: Hi, guys
Logan W. Kruger - President, Chief Executive Officer and Director: Hi, David.
David Rosenberg - Oaktree Capital Management: I was wondering you gave the sequential changes in costs from Q1 to Q4. Can you do the same thing year-over-year from Q1 last year to Q1 this year?
Michael A. Bless - Executive Vice President and Chief Financial Officer: Sure, no problem. Let me pick out the big ones. I mean, before I get into the costs, obviously the price itself has the biggest single impact as it always does again assuming that the market moves on both our revenues and ultimately our gross profit and operating profit in the rest and just, let me give you a couple of pieces of key data there. The actual price that we realized.
David Rosenberg - Oaktree Capital Management: Price is up a little bit.
Michael A. Bless - Executive Vice President and Chief Financial Officer: I am sorry, David?
David Rosenberg - Oaktree Capital Management: The price is up a little bit looks like from your press release, the average price.
Michael A. Bless - Executive Vice President and Chief Financial Officer: Quarter-to-quarter.
David Rosenberg - Oaktree Capital Management: Yes, we have 115 to 117.
Logan W. Kruger - President, Chief Executive Officer and Director: Yes, we try to have it in dollars per ton here.
David Rosenberg - Oaktree Capital Management: Yes, exactly right.
Michael A. Bless - Executive Vice President and Chief Financial Officer: Anyway, let me go on to the cost and answer your question. Biggest factors there were not to similar to what we just had the raw materials. But at $7 million negative variance Q1 to Q1 last year that must give you a little more break down and it’s for Grundartangi, we are about three, carbon in the US was a bunch more and then fluoride and the fewer other little things, alumina... third-party purchase alumina, Ravenswood in Mt. Holly but $2 million worse, domestic power about $5 million worse, that was mostly electric power, Mt. Holly, that was $1 million and the rest Hawesville and Ravenswood. A variety of OpEx principally in the US about $4 million negative variance just looking through, those are the major cost elements… pardon me, going the other way importantly, same theme as quarter-to-quarter are the what we call the controllable operating expenses at Grundartangi i.e. non-power was favorable by $7 million quarter-over prior year's quarter.
David Rosenberg - Oaktree Capital Management: I'm trying to understand and because it sounds like... if you look at average price is up slightly, volumes are up slightly, cost went up dramatically at EBITDA down meaningfully and I'm trying to figure out what I am missing and most of it is... maybe it’s just mostly SG&A, but?
Michael A. Bless - Executive Vice President and Chief Financial Officer: SG&A was 6 or 7... let's say about, yes, 6 of it.
David Rosenberg - Oaktree Capital Management: Yeah, maybe… okay.
Shelly Lair - Vice President and Treasurer: David, are you looking at prices as a one-month lag.
David Rosenberg - Oaktree Capital Management: I'm just looking at what you guys reported… average realized price?
Logan W. Kruger - President, Chief Executive Officer and Director: Yeah. Hopefully that helped you David?
David Rosenberg - Oaktree Capital Management: It did, thank you.
Logan W. Kruger - President, Chief Executive Officer and Director: Thank you.
Operator: Out next question is from Wayne Atwell with Pontis Capital Management. Please go ahead.
Wayne Atwell - Pontis Capital Management: Thank you. Can you explain here you're thinking going forward on hedging? I know, originally when the company was put together, your relatively high cost with the assets primarily in the US and you're behind of the cost curve, with your smelter in Iceland now you're in a much better shape compared to the rest of the industry, are you going to continue to sell metal forward or just runs off for you kind of to sell flat and not have a forward hedge position?
Logan W. Kruger - President, Chief Executive Officer and Director: Wayne, I think, we've been fairly consistent over the last couple of years. We will review our status as we roll and would do and much people do, I'm sure, looking at the market. We want to and wish to remain exposed with the balance of our tonnage to the market. So, we have no plans, but I'd just say that we do look at this and we have no plans to put in place additional hedges. I think, is that the question?
Michael A. Bless - Executive Vice President and Chief Financial Officer: Yeah, and just to, this is Mike, just based on your question, Wayne, I am sure you do understand, but just implicit in your question maybe... we have not sold a ton of metal forward in the last couple of years. So, we just.. yes, so we have just been working off the book that we have had as your reference was put in place when the company was a different size and a different cost structure and as Logan said, we've been consistent that... we like the, we think our investors want us to have exposure to the market, we think it's the right thing to do, you never want to say never. But, given everything we see right now as Logan said --
Logan W. Kruger - President, Chief Executive Officer and Director: We like the exposure for the balance of the tonnage, Wayne.
Wayne Atwell - Pontis Capital Management: So, essentially, you're going to let your hedged book run-off and you're not hedging any more? And then second question, we talked about the Ravenswood power situation, do you have any other power issues that you are concerned about?
Logan W. Kruger - President, Chief Executive Officer and Director: I think, the answer is that, we are obviously working on the longer-term solution for Hawesville but that is a fairly complex process, but it's progressing, we have a power contract in place with about a 27% exposure which we have dealt with for a number of years. I think non-poly [ph] we hope that the introduction of the new coal-fired power station will help maintain a steady power process, but again that these impacted by what coal fuel costs will be. Obviously it's non-poly and they are going to bring on the… Santee Cooper will bring on the new power station coal-fired again next year. And I think overall that will help to reduce the costs I think on a trade of coal versus natural gas, the preponderance is obviously stay with the coal. Obviously at Grundartangi, we got power contracts in place that goes through for a long time and they are aluminum-based and are quite competitive. But it's an issue that we work on all the time and we see if we can improve it. For Ravenswood, we've got the rate case coming this year, more importantly for us is to continue the experimental aluminum-based rate arrangements that's gives us downside protection that obviously is a good system for everyone, it's pretty common practice across the world, as you know.
Wayne Atwell - Pontis Capital Management: Thank you.
Logan W. Kruger - President, Chief Executive Officer and Director: Thanks Wayne.
Operator: Our next question is from Sam Martini of Cobalt Capital. Please go ahead.
Sam Martini – Cobalt Capital: Hi guys. Just a follow-up. In terms of the kind off the run cost, specifically freight, maybe nat gas at the refinery, anything that's not kind of power or bought alumina, anything sneaking up that you are starting to get concerned about being very tight, you mentioned fluoride, caustic anything else that you are starting to really think you have to scramble to get that we should be paying close attention to?
Logan W. Kruger - President, Chief Executive Officer and Director: I think Sam the answer is every single cost element gets the attention, but just to deal with a couple, we've got contacts in place for aluminum fluoride. And so, we've tied that up. Obviously, we continue to look ahead and that's one of the reasons we went the root of securing our own source of supply, and in the joint venture for carbon for anode. The second part on natural gas, we've always had a proactive hedging strategy in place and for the balance of the year, I think we hedged it at about 35%, 36% of our needs, mostly Gramercy. But there is a concern for us, we seek gas costs at $10 million Btu. So that's one when we see the markets sizeable, we would take out some of the risk out of our production costs, and Gramercy continues to produce well. So we're medium rate concerned, but those are the sort of the impact that we obviously look at.
Sam Martini – Cobalt Capital: What about on the freight side, I think your barge rates up a lot. Do these things… this is I think we are offsetting some meaningful benefits, is that, are we seeing prices up or capacity costs up even more than we saw?
Logan W. Kruger - President, Chief Executive Officer and Director: I think on the freight side, both barge and ship coming in, we basically have put in place a contract that will cover for that. We also work our suppliers very carefully and trying to make sure that our sources will supply our closest to our needs, that being obviously, Ravenswood and Mt. Holly and so far that's been quite successful. But again your question, Sam, is the $115 oil, what's going to be? We did mention going I think towards the end of last year that although our alumina pricing project for Ravenswood and Mt. Holly were going to improve this year, that's all being taken up by increased pressure. So I think you understand that we haven't seen the benefit of the alumina pricing because the freight rate has actually eaten up that benefit.
Sam Martini – Cobalt Capital: Right. Okay. Thanks Logan.
Logan W. Kruger - President, Chief Executive Officer and Director: Thanks, Sam. Good question.
Operator: [Operator Instructions]. We have question from Marty Pollack with NWQ Investment Management..
Marty Pollack - NWQ Investment Management: Yeah, Hi. This is following up on Wayne Atwell's question. Regarding the strategy on hedging. Just wondering the price… as you look at the forward curve how much of that in fact is sort of influence on your thinking and at the same time what would be the average price that you project. Let's say next two to three years.
Logan W. Kruger - President, Chief Executive Officer and Director: Marty, let me try and stand back and I will get my colleagues to comment to, it’s Logan. I think first of all we look at all the forward prices, we look at the fundamentals, where is the supply coming from, what's the demand like. I think, the main supply risk, which is been demonstrated very well in the first quarter of this year. And then we will look at what it is, but we look at that and this robust market we feel being exposed to the aluminum product is good for the company. So, we don't want to add to our present hedge position. In terms of what that price may be I think you have to go and look at all the analyst and take them all and that's our advice to you and we look all of those and we say, yes, the range of numbers that you may wish to consider. But on a long-term price basis I think most of the average is around about 2,400 may be 2,500 or $2,600 per annual ton. This number we may have been talking six months ago around 2,100. So, I am trying an indication that the market and the way people are seeing cost push, supply side risk and demand growth, these numbers have changed quite a lot in the last… certainly, last six months. Hopefully that helps.
Marty Pollack - NWQ Investment Management: I guess, What I would just follow up, I mean in effect looking at the nature of the project and the CapEx unless you thought it seems that 2,400 was really not, I would say we really expect a much bigger price maybe something like copper type move. It seems that the current price level is fairly good. Can I assume is just a lot more optimism on your part that it's too much give up here about opportunity maybe to see that the price up to $1.50 plus something like that. I mean is that to the sense part of that you are thinking about it?
Logan W. Kruger - President, Chief Executive Officer and Director: We don't give thoughts on the pricing, we say look at what people are taking about, I mean there are people are talking $3,500, $4,000 a ton. I think for our planning purpose Marty to be clear we certainly don’t use anywhere near that. We go look at project like Helguvik and see where it's average cap cost is going to fall in the continuum of cost produces and we know that it's going to be well under the lower half of the cost producers. But again the all discussions around in the press and the analyst we don't take ability to say yes, yes, where we think the long-term is indicated by the analysts and we then go and do our planning based on somewhat more conservative numbers.
Marty Pollack with NWQ Investment Management: Yeah, Thank you.
Logan W. Kruger - President, Chief Executive Officer and Director: Thanks Marty.
Operator: And there are no further questions, if you would like to continue.
Logan W. Kruger - President, Chief Executive Officer and Director: No. Thank you very much everyone for joining us today. We look forward to talking you again at the next quarterly call. Thank you.
Operator: Ladies and gentlemen that does conclude our conference for today. Thank you for your participation and for using AT&T executive teleconference service. You may now disconnect.